Operator: Good day, ladies and gentlemen, and welcome to PayPal's First 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, today's call may be recorded. I would now like to introduce your host for today's conference, Ms. Gabrielle Rabinovitch, Head of Investor Relations. Please go ahead.
Gabrielle Rabinovitch: Thank you, Sherrie. Good afternoon and thank you for joining us. Welcome to PayPal Holdings' earnings conference call for the first quarter 2018. Joining me today on the call are Dan Schulman, our President and CEO; John Rainey, our Chief Financial Officer and EVP Global Customer Operations; and Bill Ready, our EVP Chief Operating Officer. We're providing a slide presentation to accompany our commentary. This conference call is also being webcast and both the presentation and call are available through the Investor Relations section of our website. We will discuss some non-GAAP measures in talking about our company's performance. You can find a reconciliation of these non-GAAP measures to the most directly comparable GAAP measures in the presentation accompanying this conference call. Earlier this month, we announced updated definitions of active accounts and total payment volume or TPV to capture the diversification of PayPal's products and services through strategic partnerships, new products and acquisitions. The rates of growth discussed on this call related to these metrics reflect revised results from prior year periods for comparability. We do not consider the historical impacts of the updated definitions to be material. In addition, management will make forward-looking statements that are based on our current expectations, forecasts and assumptions, and involve risks and uncertainties. These statements include our guidance for the second quarter and full year 2018. Our actual results may differ materially from these statements. You can find more information about risks, uncertainties and other factors that could affect our results in our most recent annual report on Form 10-K, and quarterly reports on Form 10-Q filed with the SEC and available on the Investor Relations section of our website. You should not rely on any forward-looking statements. All information in this presentation is as of today's date, April 25, 2018. We expressly disclaim any obligation to update the information. With that, let me turn the call over to Dan.
Dan Schulman: Thank you, Gabrielle, and thanks everyone for joining us on today's call. I'm pleased to say that PayPal had another quarter of strong results and we are off to a great start for the year. We generated 3.69 billion of revenue in Q1, growing at 24% on a spot basis and 22% on a currency neutral basis. We delivered 829 million in non-GAAP operating income, that's up 29% year-over-year, driven by 90 basis point increase in our non-GAAP operating margin, which was 22.5% for the quarter. As a result, we delivered $0.57 of non-GAAP EPS, up 29% year-over-year. We also had another quarter of strong customer growth and engagement. We added 8.1 million net new actives, up 35% year-over-year, bringing our total active accounts to 237 million. This strong performance was driven by continued growth of core PayPal and Venmo users and our Customer Choice initiative. Choice continues to produce strong customer activations and the year-over-year reduction in our overall churn rate. We expanded the global roll out of Choice by launching in China and nine additional countries across Southeast Asia and further expanding and further expanding into Europe by launching in France, Germany, Italy and Spain. Following the addition of a record 29 million net new actives in 2017, we're pleased to see continued strength in our customer acquisition. We remain confident that net new actives for this year will be in line with the record additions we experienced last year. And as our consumer base expands, the growth of merchants signing up to our platform is also accelerating. Our merchant base now totals 19 million accounts. This powerful network effect along with continued improvements to our technology platform and enhancements in our product experiences continues to drive increasing engagement. PayPal ended the first quarter with 34.7 transactions per active account, up once again by 8%. Our efforts to redefine our ecosystem with landmark partnerships, the introduction of new products and services and the continued expansion of our global footprint led to strong volume growth. PayPal processed 132 billion in TPV in the quarter, up 32% on a spot basis and up 27% on a currency neutral basis. On an FX-neutral basis our merchant services TPV grew at five times the rate of our eBay market places TPV. There's no doubt that we are benefiting from the explosion of mobile and as cards finding impact on the digitization of commerce and all forms of currency. We're executing against a focused and strategic plan intended to maximize the benefit of these trends and extend our market leadership. We're clearly transforming from a payments button to an open digital payments platform. And by doing so we're redefining our relationship with partners, retailers and consumers in a much more expansive manner. We continue to grow our relationships with technology platforms and companies across the globe as well as with card networks and issuing banks. Through these partnerships, we are able to increase our addressable market as well as accelerate the introduction of innovative payment experiences. For instance, our relationship with Visa continues to strengthen around the world as we collaborate on multiple initiatives, including tokenization and the increasing use of their services like Visa OCT for instant cash out. JP Morgan Chase added PayPal as a new category for its freedom rewards members, allowing then to earn up to 5% cash back when making PayPal purchases funded by their Chase freedom card. We introduced two new experiences with Bank of America, one that enables PayPal as a way to disperse payments on behalf of their corporate clients and another that provides the away customers a streamlined way to link their debit and credit cards to their PayPal accounts from their Bank of America mobile and online channels. We announced partnership agreements with CaixaBank and Bankia, two of the leading banks in Spain. CaixaBank's business customers can now seamlessly offer PayPal as a way to pay on their websites. Helping Spanish SMB's [ph], participate more fully in Spain's growing ecommerce market. Bankia, now enables its customers to seamlessly link their Bankia cards to their PayPal wallet and open a PayPal account from Bankia's online channels. HSBC announced a new integrated service to allow their corporate customers to make payments to beneficiaries with PayPal accounts in the UK. And this partnership will be rolling out across Europe throughout 2018. And Barclays Bank, one of the largest banks in the UK is announcing a strategic partnership with us that will enable their UK and US customers to more easily link their accounts to their PayPal wallet. US Barclays' credit card holders will soon be able to use their reward points as a funding source in their PayPal wallet. We're pleased to be working with all of our partners to roll out compelling and engaging experiences. Our financial institution partners are now experiencing, first hand, the benefits of our joint efforts. It's exciting to see them actively encouraging their customers to link their accounts to PayPal in order to enrich the digital experiences available to our mutual customers. In our relationships with some of the world's largest technology platform partners like Apple, Facebook, Google and Microsoft, continue to expand and grow in the quarter. These experiences allows for PayPal to be more present in the everyday lives of our customers, driving engagement as well as introducing millions of potential new customers to the PayPal brand and value proposition. For instance, last year we announced an expanded agreement with Samsung and I'm pleased to share that in the next few weeks, users will be able to load PayPal into Samsung pad, enabling our mutual customers to pay with their phone at millions of retailers in the US. We also continue to innovate around our core platform capabilities. For instance, P2P has increasingly become a powerful driver of customer acquisition and engagement on our platform. We continue to see record levels of customer acquisition through P2P and Venmo as we continue to innovate and consequently differentiate the services we offer. Venmo continues to gain increasing traction as preferred way for millennials to manage and move their money. Venmo acquired more net new actives in Q1 than in any previous quarter and processed 12.3 billion in payment volume, up over 80% versus last year. Venmo is now on a run rate to generate over 50 billion in TPV in 2018. We're making strong progress in monetizing Venmo. Pay with Venmo has deployed more than 2 million merchants across the US with major brands such as Grubhub, Seamless and Williams-Sonoma, installing dedicated pay with Venmo button. We expect the deployment of a distinct Venmo button with our leading brands will accelerate throughout the year, as well the deployment of dynamic buttons. The use of convenient instant cash out capabilities at a fee of $0.25 per transaction is dramatically accelerating across the Venmo consumer base. Overall adoption of monetized services is exceeding our original expectations. One Touch continues to set the standard for speed and simplicity for mobile check out. We concluded the quarter with 92 million consumers using One Touch and 8.6 million merchants. We're proud that 78% of the IR-100 now use One Touch, enabling mobile check out conversions at almost two times the industry average. In fact the latest comp score study now states PayPal's conversion has further improved to 89% by far in a way the leader in mobile check out. We processed 49 billion in mobile payment volume in the quarter, up 52% year-over-year and mobile payments now represent 37% of our total payment volume. Credit is and will continue to be a strategic part of PayPal's offering to consumers and businesses. It is an important way that we help small and midsized businesses compete, grow and thrive. I'm pleased to announce that PayPal working capital has now extended more than 5 billion in working capital to more 150,000 merchants since its launch in 2013. In the quarter, we also launched new services to give our customers more flexibility in how and where they can spend, manage and move their money on the PayPal platform. As the world becomes increasingly digital too many consumers are challenged by gaps in the current financial system to find convenient and affordable ways to manage their financial health. We recently introduced the PayPal cash master card aimed at giving greater financial flexibility to underserved and unbanked consumers in the United States. It lets card holders spend their PayPal bonds at millions of physical store locations, access cash from ATMs and load their PayPal account with cash at over 20,000 retail locations. Consumers can also add to their balance via direct deposit as well as depositing checks via their mobile device. We're working closely with partners across the financial ecosystem to introduce what will be a comprehensive value proposition for the tens of millions of US consumers that currently rely on shadow banking services like check cashers and pay their lenders. It is the central tenant of our mission to provide underserved consumers better access to the opportunities afforded by the digital economy and I'm very pleased that we're taking the first steps on this journey. Around the world, we continue to expand and grow our relationships and footprint. We've introduced advanced capabilities to accelerate our ability to onboard new sellers on AliExpress in order to expand the selection of products available to shoppers around the globe. We now have approximately half of all AliExpress active sellers accepting PayPal as a way to pay. In addition, we're excited to launch our partnership with BYJU in the coming months. We've now successfully moved from pilot to general availability of PayPal for domestic customers in India. We're now pleased to welcome merchants across India to offer PayPal to local consumers in India as well as to our millions of consumers around the globe. We recently announce the partnership with M-Pesa, the transformative mobile payment system in Kenya. Through our relationship, Kenyans can now seamlessly move money between their M-Pesa and PayPal accounts, removing barriers that had prevented Kenyan consumers and businesses from fully participating in the global digital economy. Kenyan consumers can now shop the millions of global businesses that accept PayPal and Kenyan businesses can sell to PayPal's consumers around the world. With almost 28 million M-Pesa customers in Kenya, we see this as a meaningful step forward in working with partners to drive the democratization of financial services. Finally, we have formalized a signed contract with eBay through July 2023 to extend our branded relationship. We're actively working with Devin Wenig and his team to deepen our relationship in ways that drive profitable growth for both companies. It's my belief that eBay and PayPal will continue to be close strategic partners for the foreseeable future and we're committed to that outcome. As we shared previously, this gradual transition in our relationship with eBay was anticipated by both parties and was outlined in the original operating agreement. Consequently, it does not change either our short or medium term financial values. We're pleased that the opportunity to extend our strategic relationship with eBay. While at the same time expand our ability to partner with some of the world's fastest growing market places. Based on numerous direct conversations, we know that our rapidly expanding two sided network and our increasing platform capabilities are very attractive to our host of next generation market places. And they're looking forward to deepening their strategic relationship with us. After a strong 2017, it's encouraging to enter 2018 with continued momentum in the seer strategy delivering results on multiple fronts. Our merchants, consumers and partners will always remain at the heart of everything we do and I'd like to extend my thanks to the entire PayPal team for their consistent dedication to our customers. We still have much to accomplish and as always a lot of hard work ahead, but the opportunity for us to make a real difference in the lives of so many of our customers has never been greater. And with that, I'll now turn the call over to John.
John Rainey: Thanks Dan. In the first quarter we outperformed on both revenue and earnings, building on our momentum from 2017. [indiscernible] across active accounts, payment volume and revenue demonstrates the strength of our two sided platform. And our ability to grow operating income while expanding operating margin highlights the sustainable scalability of our model. During the quarter, we continued to invest in our strategic initiatives and at the same time delivered strong earnings growth. Before I go into detailed financial results, a few highlights for the quarter, revenue was $3.69 billion, growing 24% on a spot basis and 22% on a currency neutral basis. Non-GAAP EPS grew 29% to $0.57. During the quarter we also returned $1.8 billion to shareholders, repurchasing approximately 23.6 million shares as part of our buyback program. Consistent with Q4 '17 as a result of the sale of our US consumer credit receivables portfolio to Synchrony Financial and the associated reclassification of the receivables to held for sale, there are changes to the presentation of our results. These changes reduce comparability to prior periods. Where relevant to the discussion, I'll provide normalized results to adjust for these changes. Following the closing of the transaction, which we expect to occur early Q3, the US consumer credit portfolio will no longer sit on our balance sheet. We will no longer incur any direct cost related to the charge offs of principal for interest. This reclassification affects three areas on our income statement. First, revenue from other value added services benefited by approximately $38 million in the quarter as a result of no longer recognizing reserves on interest receivables; second, transaction and loan losses benefited by approximately $111 million from no longer recognizing reserves on principle receivables and third, non-transaction related expenses were negatively impacted by approximately $128 million from the recognition of incurred charge offs on principle and interest. Turning to our financial performance in the first quarter, our total payment volume was $132 billion, up 27% on a currency neutral basis, including US payment volume growth of 28% and international volume growth of 25%. Our merchant services volume grew 30% on a currency neutral basis to $116 billion. Volume associated with eBay grew 6% on a currency neutral basis to $17 billion. P2P volume, which is a component of merchant services and includes volumes across core Venmo and Zoom, grew 50% to $30 billion and represented approximately 23% of total payment volume versus 20% in Q1 '17. In the first quarter, we added 8.1 million net new active accounts, ending with 237 million active accounts, representing 15% growth over Q1 last year. On the consumer side, active account growth was predominantly driven by core PayPal and Venmo and we added nearly 900,000 merchants to our platform. The number of payment transactions per active account on a trailing 12 months basis reached 34.7 with 8.2 billion transactions occurring on our payment platform over that period. In the first quarter, transactions once again grew 25% to 2.2 billion. Revenue increased 24% on a spot basis and 22% on a currency neutral basis to $3.69 billion. US revenue increased 26% versus Q1 '17 and international revenue increased 18% year-over-year on a currency neutral basis. Revenue growth on a currency neutral basis accelerated nearly 3.5% from strength in our US and APAC businesses, including our acquisition of Swift Financial. Overall, our total revenue benefited from the weaker dollar by $91 million, with $141 million of translation benefits, partially offset by $50 million of hedging losses. This $50 million hedging loss compares to $40 million gain last year. In the first quarter transaction revenue grew 22% and revenue from other value added services grew 39%. Transaction revenue growth was driven by our core PayPal and Braintree businesses, while revenue from other value added services benefited from the acquisition of Swift and from the reclassifications related to held for sale accounting. Adjusting for these events, other value added services revenue grew at approximately the same rate as transaction revenues. For Q1, our transaction take rate was 2.42%, a decline of 19 basis points from the first quarter of 2017. And our total take rate was 2.78%, down 17 basis points year-over-year. Almost half of the decline in take rate is related to the $90 million headwind from hedging losses. This combined with the growth in our P2P businesses led by Venmo contributed to more than 75% of the transaction take rate decline with the remainder being driven by business mix. Volume based expenses grew 23% in Q1. Transaction expense was $1.3 billion and represented 96 basis points of TPV, a decrease of 2 basis points year-over-year. Funding mix pressure was offset by lower funding costs from growth in P2P. Transaction loss in the quarter was $243 million or 18 basis points of TPV, an increase of 1 basis point versus the same period a year ago. This 1 basis point increase relates to the introduction of new products and services where we look to balance our risk tolerance with our growth plans. Loan losses were $62 million or 5 basis points as a rate of TPV, down more than 50% from Q1 '17 as a result of the effect of held for sale accounting. For modeling purposes, we expect loan losses to be in the range of 5 basis points as a rate of TPV for the year. Transaction margin dollars grew 25% to $2.1 billion. Adjusted for the impact of held for sale accounting transaction margin dollar were $2 billion, representing 16% growth versus last year. For the quarter, transaction margin as a rate was 57.1%. Adjusting for held for sale accounting, transaction margin was 53.6%. Non-transaction related expenses grew 22% in the quarter. Normalizing for the held for sale accounting adjustments, these expenses would have grown approximately 10% resulting in 365 basis points of operating leverage. Further adjusting for our 2017 acquisitions, we would have seen non-transactional related expenses grow at 6.9% for the quarter, which is in line with our target of mid-single digit growth. After adjusting for held for sale accounting treatment and backing out incremental revenue and cost associated with our acquisitions from last year, these expenses increased only $0.11 for every incremental dollar of revenue. We believe that we can sustainably grow our business with this level of investment in our non-transactional related expenses, allowing us to continue to deliver operating margin expansion. In the first quarter, operating income grew 29% to $829 million on 24% top-line growth. This resulted in an operating margin of 22.5% or 90 basis points of operating leverage. It's worth noting. This is the highest operating margin we've reported as an independent company. Adjusting for held for sale accounting and acquisitions, operating income grew 29% to $833 million delivering organic margin expansion of approximately 100 employee basis points. Non-GAAP earnings per share grew 29% in the first quarter to $0.57. Capital expenditures were $178 million or approximately 5% of revenue. As a result of changes from the designation of our U.S. consumer credit receivables portfolio, net new loans of $1.26 billion reduced cash flow from operations in the quarter. Prior to this change in designation, this amount would have been recognized in cash flows from investing activities. As a result, cash flow from operations in the first quarter was negative $349 million with free cash flow of negative 500 in $27 million. But on a normalized basis, we would have recognized $733 million in free cash flow generating approximately $0.20 of free cash flow for every dollar of revenue. We ended the quarter with cash, cash equivalents and investments of $7.8 billion. In addition, we ended the quarter with short-term borrowings of $3 billion drawing down on our unsecured credit facility. During Q1 we returned $1.8 billion to shareholders in the form of stock repurchases. I would now like to discuss our outlook for the second quarter of 2018 and our updated guidance for the full year. For the second quarter, we expect revenue in the range of $3.78 billion to $3.83 billion or 19% or 20% growth on a currency neutral basis. We also expect non-GAAP earnings per share of $0.54 to $0.56 representing an 18% to 23% growth. Before I discuss full year 2018 guidance, I would like to discuss a change to our GAAP EPS outlook for the year. We now expect GAAP EPS to be within the range of $1.73 to $1.76. This updated outlook reflects a $19 million increase in our estimate for non-GAAP adjustments. Approximately two-thirds of this increase is attributable to additional stock-based compensation based on our financial outperformance. The remaining third is from a restructuring charge that we recognized in the quarter related to reductions of our global workforce and the decision to wind down TIO Networks operations, which was not in our original guidance. For the full year 2018 based on current trends, we are raising our revenue outlook by $175 million at the midpoint of our prior range. We now expect revenue between $15.2 billion and $15.4 billion representing current neutral growth of 15% to 16%. We expect our sale for Synchrony of approximately $6 billion of US consumer credit receivables to close early in the third quarter. Following the completion of this sale, we will no longer recognize revenue from interest and late fees related to this portfolio. Overall we continue to estimate a 3.5 percentage point impact to 2018 revenue growth from this transaction. We expect revenue from other value-added services to decline in the back half of 2018 relative to 2017. At the same time transaction revenue is on track to continue growing at approximately 20%. Our full year 2018 guidance contemplates modest expansion in our non-GAAP operating margin. We continue to balance delivering operating margin expansion with reinvesting back into the business to further strengthen our platform and competitive positioning. Given our growth opportunities, we have a bias toward investing. We are also narrowing our range for non-GAAP effective tax rate and now estimated to be between 17% and 19% and we are raising non-GAAP earnings per share to $2.31 to $2.34 representing 22% to 23% growth. To wrap up, our first quarter results position us well for another year of strong financial performance. I would like to thank all of our employees, customers, and partners for a great quarter. And with that I will turn it over to the operator for questions. Thank you.
Operator: Thank you. [Operator Instructions] Our first question comes from Tien-tsin Huang from JP Morgan.
Tien-tsin Huang: Thanks so much. So that for me was the level of buyback that you guys executed in Q1. It looks like it was mostly 80% or more than what you bought in all of '17. So I'm curious is this PayPal just being more opportunistic or is this sort of a signal of your capital allocation priorities, maybe shipping the buyback or you are not seeing the adequate returns on potential M&A, any kind of comment there would be great? Thanks.
John Rainey: Sure, Tien-tsin. This is John. Our priorities have not changed. We still prioritize capital allocations first as investing for growth and that can be either organically or through M&A activity, but we also believe in returning cash to shareholders. This so happens that in the first quarter we had clarity on a couple of important issues. One is tax reform. The other is the transaction that we announced with Synchrony and that allowed us to do more than what we have done in the past. But very importantly, a strong balance sheet for us is a strong competitive advantage. It's an asset that a lot of our peers don't have and we believe as a management team improving that cash to use to create shareholder value and you'll continue to see us allocate capital in that manner whether it's returning cash to shareholders and going out and looking at the M&A landscape. I would not read anything into the amount of the share buyback as to suggest if there are not opportunities for us to go acquire companies. As you can appreciate those take time to complete a deal if not as if you can just start something and close the transaction in the quarter and so we will be measured and do what's right for PayPal and allocate capital in a manner that create shareholder value.
Tien-tsin Huang: Got it. Thanks for that. Just my quick follow-up then maybe just on the - Dan listed a bunch of bank promotions. Just curious are you funding some of these initiatives with the banks and I'm curious what kind of early returns you might be seeing that maybe hasn't shown up in the P&L so far in Q1?
Dan Schulman: Bill?
Bill Ready: Yeah, this is Bill. Hi, Tien-tsin. So we don't disclose the details of any one of those partnerships specifically. However, what we are seeing is tremendous receptivity from our banking partners to really drive their customers into PayPal because of the great source of digital transaction growth which was the primary place where issuers are growing right now and we are seeing really good response from the programs that are out there and they've been a tremendous support for us as well as for our issuing partners and so we are not committing any kind of unnatural acts to get those things to happen. In fact, our banking partners have found it very much to be in their interest to promote their customers to use PayPal. So we see that as something that is certainly indicative of the partnership, but also something we are not committing unnatural acts to make those things happen.
Tien-tsin Huang: Great, thank you so much.
Operator: Thank you. Our next question comes from Bryan Keane with Deutsche Bank.
Bryan Keane: Hi, guys. Just wanted to ask about the move to the unreserved or, to go after the unbanked, what are some of the puts and takes on revenue and cost resulting from offering more comprehensive financial services?
Dan Schulman: Yeah, maybe I'll start off Byan with the answer on that and thanks for the question and then I'll turn it over to Bill on that. So first of all, we firmly believe as a company that everyone should have access to affordable convenient secure and low cost financial services. I mean that is our vision of marketizing financial services and we are working closely with the rest of the financial services ecosystem to do that. I mean think about the partners we have in there right now, MasterCard, Wells Fargo, Bank Corps just to name some of them. And I think what we are trying to do is not try to compete or replace what's going on with banks, but work with the financial system to fill in the gaps in the current system, so that everyone can afford the opportunities that the digital economy is extending. If you think about the way that we are putting services into place, we are trying to be a consumer champion, provide for instance our PayPal Cash MasterCard with no monthly fee, no minimum, because that is being differentiated in the marketplace. And the money we make from that is on transactions that occur at merchants just like we do typically. So we think that we can use technology reimagine financial services for sort of a mobile first customer and provide not only a great consumer value proposition but also a great proposition from merchants and the rest of the ecosystem as we bring people into the digital economy. Bill, do you want to?
Bill Ready: Yeah and I would just add to that to your question on what it means for us on economics. We've had some products in market for a while that give us exposure to how these products are, one, used by customers and, two, what those mean to us financially both prepaid cards we've had in market for a while, merchant debit cards, things like that. And so there is no material difference in the way we would look to go monetize those customers and we've also had things for the unreserved such as being a little walk-in to a retail location like [indiscernible] for example and the cash onto PayPal accounts for somebody in the unreserved or unbanked community to participate in the digital economy. We've had exposure to those things and we don't see this as being any material difference in the way we would monetize on those customers versus how we monetize across the rest of our business.
Bryan Keane: Okay, helpful. And then just as a follow-up, the increase in the merchant count, is there something you guys are doing recently that's driving up merchant acceptance up to 19 million or just more a function of Venmo getting out more, PayPal getting out more and being kind of a separate paying entity has got the attention of numerous additional merchants?
Dan Schulman: Yeah, I think, look, probably the number one thing there is really a tipping point that we've reached from kind of a network effect perspective and we now have 237 million people on the platform. And as John mentioned, some 900,000 merchants this quarter signed up. We've been seeing that run rate as you have been hearing us talk about the number of merchants and so there is a great flywheel effect that happens. The other thing that I would point out is that more and more consumers are using mobile as their primary device to shop. And the real big issue for merchants with mobile is that mobile conversion with a mobile phone is typically low. These people have to add in a ton of information on that small phone factor, but with our One Touch and our conversion rate now at 89% from mobile checkout and then One Touch is two times, maybe two times plus, the industry average and that obviously is a great thing for consumers, but an essential thing for merchants. And I think that combination of those things, plus we are obviously adding more and more capabilities for small and midsize merchants, working capital being one that I talked about that, but we have a whole host of services that we are expanding through our platform as being just - as opposed to being just a payment button that is attracting not just consumers but an acceleration of merchants as well.
Bryan Keane: Okay. Thanks so much. Congrats on the solid results.
Dan Schulman: Thank you.
Bill Ready: Thanks, Bryan.
Operator: Thank you. Our next question comes from George Mihalos with Cowen.
Dan Schulman: Hi, George.
George Mihalos: Hey guys. Let me add my congrats on the strong results. Dan, just wanted to start off, there's obviously been a lot of - I really wonder on the market around the networks Visa MasterCard perhaps embracing sort of their own universal checkout button if you will. Maybe you can kind of address that as it relates to PayPal's positioning.
Dan Schulman: Yeah. Let me first [indiscernible] on this. Our relationships with the networks could not be stronger. We - just every single quarter we find more and more places where we can work together, combine their services and capabilities with our platform and offer incremental value to both merchants and consumers and very importantly throughout their issuing partners and financial institutions. And you are seeing that through all of the partnerships that is just reflecting as I was writing my script on just this one quarter you've seen all of those banking partners working as Bill said very closely with us observing the firsthand the benefits that come from working hand in hand together for our mutual customers and so it's been a great partnership, a strong partnership and a growing partnership. In terms of the button specifically, I think Bill can talk a little bit about that and then I have a couple of comments on them.
Bill Ready: Sure. On the specific new news there, it was really about sort of interoperability between the paying buttons offered by the networks. And we have for quite a while now talked about how we want to go help power the complete move to digital buy button experiences and not only do we have PayPal and Venmo as those widely used for digital payment forms in the world, we also are one of the largest providers to other digital wallet form of the payment whether that's Visa Checkout or MasterPass or Apple Pay and Google Pay. So we work with those others. Even as we work with those others, we are seeing that our own buy buttons continue to accelerate and so we really want to power the entire movement towards seamless digital wallet buying experiences and happy to partner those to do that. And this new news around interoperability is sort of a new technical specification. But interoperability between Visa Checkout and MasterPass and some of these existed previously that you can put a MasterCard into Visa Checkout or Visa card into MasterPass. So there is a new technical certification there. But interoperability between those checkout forms is not meaningfully different than how we have seen those previously and we are excited to continue working with our network partners to help them with those efforts, as well as the many ways we're partnering on how we each advance digital payments.
George Mihalos: Great, I appreciate that. And then John, maybe just a quick follow-up, I think margins expanded, call it about 90 bps year-over-year in the first quarter, should we expect that to come down a little bit just looking at the $0.56 high end of the EPS guide for 2Q?
John Rainey: With any one period there is going to be seasonality or things in the business move around. I would really point you to the full year results. We do make discretionary investments from one period to the next, but if you look at the implied guidance for our full year it still shows us expanding margins at a nice rate. I think it's reflective of the overall progress in the business. This is, as I noticed in my prepared remarks, we had a record operating margin in the quarter. We've had four consecutive quarters of accelerating revenue growth. For the last three quarters, we've averaged 30% EPS growth and 25% growth in transactions. So I'm really pleased with how the business is doing.
George Mihalos: Thank you.
Operator: Thank you. Our next question is from [Indiscernible].
Unidentified Analyst: Thanks for taking my question. Could you give us a little more color or granularity on Venmo? You've mentioned a couple of times including on this earnings call that it's tracking sort of above your expectations. If you had to adjust the input in your full year guidance, is that any type of a driver in the near term or any incremental color you can give us around Venmo monetization would be appreciated?
Bill Ready: Sure. This is Bill. So as was mentioned, we saw continued strong growth in Venmo up 80% on the quarter to $12.3 billion in volume and our biggest new year's quarter ever for Venmo. In addition to that, as you were calling out, we are quite pleased with our monetization efforts there and those really are along multiple fronts. One in adding new merchants that accept Venmo, we saw some great brands come into the pool with Grubhub, Seamless, Eat24, Williams-Sonoma, [indiscernible] and many others in addition to the 2 million plus retailers that we had already brought in through linking Venmo into its broader PayPal network. So we are really feeling great about what we are seeing in terms of merchants' receptivity and desire to connect to the demographics that love them so much, as well as the other aspect is our monetizing through things like instant cash out where we earn $0.25 fee for giving instant access to funds out to a participating Visa or MasterCard debit card. So those things are tracking better than our expectations. We're quite pleased overall. I defer to John in terms of the guidance question, but very much tracking, better than our prior expectations.
John Rainey: Yeah. And with respect to the increase in both our revenue and our earnings guidance, guide is not directly attributable to Venmo. It's simply too early on at this point to get out of ourselves. And as - and Bill and Dan and I have talked about many times. We believe that what's important here is the long game. This is a tremendous opportunity to connect with this demographic and monetize it, but we don't want to be so impatient about that that we totally experience long term and so we have the luxury of being able to invest in this and get the experience right given our overall financial performance. The increase in guidance for earnings and revenue was really a reflection of the overall strength in the core business.
Dan Schulman: Yeah. And I would just add to it. I mean we've talked a lot about this, but I think the best metaphor for Venmo is PayPal. I think PayPal has started off as a P2P service, then expanded in the eBay merchants and then into merchants around the world. I think what we are seeing is adoption by merchants and by consumers that's ahead of what we were expecting. But as John said, we think there is a lot of room here on Venmo and we would be cautious with our expectations around that so far. I have to say we are all pretty pleased with what we are seeing.
Unidentified Analyst: Okay. A quick follow-up and maybe this one is for John. In the context of the changes to your GAAP earnings guidance, can you just comment on your go forward trends with stock-based compensation? Are you expecting any changes of cadence or any changes to your prior thinking around that level going forward?
John Rainey: Sure. I appreciate the question. We don't other than what we have already noted and just as a reminder we made some changes when we separate from eBay to have our own compensation program, not eBay's compensation program. The effects of those changes were mostly realized in last year with the exception of the change in the vesting cycle related to that. So that is - you do see that a little bit in our results. But if you take - if you just look at the guidance range we provided for share based compensation this year, I think it's assuming around 18% growth. By the same token if you look at our GAAP operating income growth and I'm adjusting for held for sale, because that just creates noise. That's closer to 26% growth for the year. So some of the bigger impacts we were seeing last year and directly to answer your question, we are not anticipating further changes going forward.
Unidentified Analyst: Thanks so much.
John Rainey: You bet.
Operator: Thank you. Our next question comes from Jeff Cantwell with Guggenheim Security.
Jeff Cantwell: Hi, good afternoon.
John Rainey: Hi, Jeff.
Jeff Cantwell: Good results and I just wanted to ask you about your bank partnership strategy that you called out this quarter and over the past few quarters or so. Can you just remind us is there provision of a strategy to lower your customer acquisition cost or your funding costs, or maybe you can just talk to us a little bit about what the pieces about bank partnership strategy that you find most important? Thanks.
Dan Schulman: Yeah. I'll start off and then Bill can fill in the color. I think first remember Jeff, the start of a choice where we are giving consumers full optionality to choose on every transaction how they want to pay and as a result of that really opened up the opportunity to work very closely with all the financial networks and the financial institutions issuing partners. Everybody is routed around choice. That's the right thing for consumers and everybody agrees that's the right strategy. As a result of that, as you can see in our TPV growth of, what's called 30%, that's very, very attractive to the issuing partners. There is no reason as many of them have said directly to Bill and I when we were in conversations at the very highest levels of management within those institutions. There is no reason why we shouldn't be the largest digital distribution partner on that because we can drive incremental growth for them on mobile checkout. Statistics are two times the industry average and our growth is multiple times out of the industry average and as a result of that they are actively linking their customers and encouraging them to get PayPal to go either established PayPal account or link their cards into an existing PayPal account. So obviously that drives acquisition for us, very low cost acquisition. At the same time, remember, they were signed to add additional capabilities to us as well. Most of those deals not all of those deals include access to tokens as well, so that you can start to move offline. We have network tokens and the issuing tokens for the instruments so that we can start to embed tokenization in an offline capability within our application and as we've mentioned before you can assume that that's going to be something that we will do as we look forward. They are also doing things that I think are really powerful for our mutual ecosystem by putting rewards points into their PayPal balance. What does that do for their consumers? It allows them to spend their rewards points at our 19 million merchants. For consumers it's a simple easy way to utilize those reward points or maybe there are other ways that were less easy for them. And for us it's a low cost funding mechanism and a real value add for our consumers. And so there are multiple different ways that this partnership works and it really - it's moved from being kind of an uneasy front of me environment two years ago to really being one in which we are all, I would say, very close allies in more of the war on cash and the advancement of digitization together. Anything to add?
Jeff Cantwell: Great and then can you just talk to us a little bit about PayPal and bitcoin functionality in the wallet? I'm trying to understand what the big picture thinking is with bitcoin and blockchain, so you can file some blockchain related patents recently. Maybe you can just give us a sense of your blockchain strategy and what the longer term to think in this way? Thanks.
Dan Schulman: Yeah, of course. Thanks for the question. Obviously hot topic that everybody talks about, here is what I would say on that. I would say we are excited about the long term potential blockchain and what it might be able to do in terms of distributed trusted applications and when I say that I don't just mean crypto. I mean things like identity and how to protect identity in different and new ways using things like blockchain. So as you saw from our patent filing, we have a number of initiatives underway where we are exploring from a long term perspective how we might utilize blockchain in innovative ways to create value propositions that may be even better than what we have today. But I'll tell you blockchain is still in the very first standings. I mean it's just realized at - for many of these things there are limitations not just in sort of the cryptocurrencies on top that are quite still volatile, which doesn't make for a good currency when things are volatile. And there are also limitations in things like transactions process per second in terms of blockchain and how fast you can process those transactions, how long it takes to wait for the completion of that transaction. So we've experimented with coin base and others in terms of direct connection to crypto currencies. Right now we do not support directly crypto currencies. We don't see the demand for it from our merchants or our consumers. But that should not be any indication that we don't see nor are we excited about the potential of blockchain in the long run. Bill, anything you would add to that?
Jeff Cantwell: Thanks very much. I appreciate it.
Dan Schulman: Yeah, you bet.
Operator: Thank you. And we have time for one last question and that is from Heath Terry with Goldman Sachs.
Heath Terry: Great, thank you. Looking at the growth that you saw, the upsize growth you saw in P2P this quarter, I'm wondering if you can give us a sense of sort of how this is impacting your funding mix, what kind of benefits that you are seeing from that when we look at the relatively stable cost of funding over the - on a year-over-year basis and in the financials how we should think about what's going on with mix there and the individual costs of the different funding channels you have?
John Rainey: Sure. Heath, this is John. So you are framing the question I think in the appropriate way and that we are seeing - there is a lot of puts and takes to funding mix, but very importantly where there is inflation in the wallet that's being offset by more P2P usage. That said, if we were to look at this even stripping out P2P just looking at the rest of PayPal, there is not big swings. We are talking about a basis point or two here or there. So even adjusting for the growth in P2P, we are still pretty comfortable with this level of transaction expense from a BPD basis and you will probably remember I noted I believe it was the second quarter last year that we had a high point about 100 basis points and I said that I expected it to come down to this range and really giving everything that we have going on in the business, we will expect it to kind of stay in this range for certainly the next year to two sort of the - for us we have good line of sighting too and not change principally.
Dan Schulman: Thank you, Heath for that question. Thanks everybody for joining us today. We really appreciate your time. We know there's a lot going on today and look forward to speaking to all of you soon. Thank you.
Operator: This concludes today's question-and-answer session. Ladies and gentlemen, thank you for participating in today's conference call. This concludes the program and you may now disconnect. Everyone have a great afternoon.